Operator: Greetings, and welcome to The Hershey Company's Fourth Quarter 2024 Question & Answer Session. At this time, all participants are in a listen-only mode. As a reminder, this conference is being recorded. I'd now like to turn the call over to your host, Anoori Naughton, Senior Director of Investor Relations for The Hershey Company. Thank you. You may begin.
Anoori Naughton: Good morning, everyone. Thank you for joining us today for The Hershey Company’s fourth quarter 2024 earnings Q&A session. I hope everyone has had the chance to read our press release and listen to our pre-recorded management remarks, both of which are available on our website. In addition, we have posted a transcript of the pre-recorded remark. At the conclusion of today’s live Q&A session, we will also post a transcript and audio replay of this call. Please note that during today’s Q&A session, we may make forward-looking statements that are subject to various risks and uncertainties. These statements, including expectations and assumptions regarding the company’s future operations and financial performance, actual results could differ materially from those projected. The company undertakes no obligation to update these statements based on subsequent events. A detailed listing of such risks and uncertainties can be found in today’s press release and the company’s SEC file. Finally, please note that we may refer to certain non-GAAP financial measures that we believe provide useful information for investors. The presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Reconciliations for the GAAP results are included in this morning’s press release. Joining me today are Hershey’s Chairman and CEO, Michele Buck; and Hershey’s Senior Vice President and CFO, Steve Voskuil. With that, I will turn it over to the operator for the first question.
Operator: Thank you. Our first question is from Andrew Lazar with Barclays. Please proceed with your question.
Andrew Lazar: Great. Thanks so much. Good morning, everybody. Michele, I know it’s clearly way too early to get overly prescriptive at this stage on ‘26, but in the prepared remarks, you do mention positioning the company for balanced top-and-bottom-line growth in ‘26. And I was really hoping you could just provide maybe just some context around this, such as, is growth doable in ’26 if cocoa remains at currently elevated levels? And if so, how do you feel about the ability to take more pricing in ‘26 to get there, even though we don’t yet have a good sense for how the incremental pricing will be received by consumers for this year? I’m really just trying to put some broader parameters around this and sort of what’s embedded in your comment about the potential for balanced growth in ‘26.
Michele Buck: Yes, got it. Hey, Steve, do you want to just take a crack at that one?
Steve Voskuil: Yes, I’d be happy to. So, as implied, when we say balanced growth, we want to eventually get EPS back on algorithms. And so, as we look to ‘26, one of the benefits of a great hedging and commodity team is we’re not paying the market price. So, you always have the catch-up factor relative to commodity. But that said, just like for 2025, when we look at ‘26, we expect to use the full suite of levers we have to manage cocoa price. And that includes looking at pricing, that includes additional productivity and CI savings, that includes continuing to drive efficiency in SG&A, and even driving more return for the same dollars, in some case, on marketing spend. So, all of those things will be in the consideration set as we take a look at what we can do in 2026. We wouldn’t expect pricing to be easy. That probably would be a conversation we’d have to have and think about internally the impact, but still 80% of our portfolio is less than $4 on the confection side. And so, that would have to be one of the things we take a look at.
Andrew Lazar:
-- :
Michele Buck: Sure. So, it’s a little bit early for us to have the full visibility to those results. What I’d say is what we’re seeing is elasticity is coming in either on par with our expectations, and in some cases, slightly better. So, we are carefully watching that, obviously. We have a lot of confidence in our ability to price. And we strategically selected where we thought it was best to do that. And we certainly always take into account an expectation of where we think cocoa will be. And as we think it’s going to normalize, how we factor that into the pricing decision so that we are really balancing how aggressive we go. So, we will continue to monitor that, but feel good about what we’re seeing today.
Andrew Lazar: Thanks so much.
Operator: Thank you. Our next question is from Ken Goldman with J.P. Morgan. Please proceed with your question.
Ken Goldman: Hi, thank you. In your prepared remarks, you said you’re prepared to adjust pricing, price pack architecture, et cetera. If your view on commodity markets evolves -- I just wanted to get a little bit more color on what that necessarily means? Is that dependent on how you view underlying supply and demand, or is it really more dependent on, hey, just looking at the futures market and saying, okay, the prices are what they are, right or wrong? Just trying to get a sense of your timeline and how you think about when you might want to make that decision to adjust pricing, or make other decisions around formulations and so forth.
Michele Buck: So, Ken, we take both of those things into account. Let me start by talking a little bit about our view on the market. And then, I’m going to turn it over to Steve to talk a little bit about how we balance those factors. We continue to feel good about what we’re seeing in the market fundamentals. We’re continuing to see production increase with nearly half of the production today coming from areas outside of Ivory Coast and Ghana. We think that’s really healthy for the global cocoa supply over time. It’s going be much more diversified. And that diversification is going to provide an inherent resilience, just balancing weather factors and geopolitical factors, et cetera. We’re continuing to take actions in West Africa to continue to help drive resiliency. And as we diversify our impact, it’s going to look -- it’s looking different by market. We’ve made investments in West Africa. We will continue to do that. We’ve also diversified our supply sources. So, we’re watching those fundamentals. And certainly that is one factor for us. At the same time we know that fundamentals and market price aren't exactly aligned, and we certainly take that into account as well. Steve, you want to talk a little bit more about that?
Steve Voskuil: Yes, I would just say at the same time that we're, you still see pricing in cocoa as transient right now, we're dealing with the reality on the ground, which is to say we're building plans for '26, we'll be watching the cocoa market in what's happening in reality, a lot through the first-half of the year, but not waiting even for that before setting plans, and again, kind of touching all parts of the P&L in the event we don't see that retrenchment so that we're ready to go for 2026, and as I said earlier, get back to an algorithm opportunity on EPS.
Michele Buck: The other thing we do watch is not only what's the price on the exchange, but what's actually happening to those prices in origin, and there is some differential there, and so we take that into account as well.
Ken Goldman: Understood. No, that's helpful. Thank you. And then, just a quick follow-up, I think you had answered Andrew's question about what you're seeing for elasticities today. It's great to hear that they're on par or maybe in some cases slightly better. Just curious, what is baked into your guidance? And if you said this, I missed it, but how are you thinking about elasticity as more pricing unfolds throughout this year?
Michele Buck: So, we've baked into our guidance historic elasticities at that minus one level. We'll watch those because we do think that depending on factors, there could be upside, but we think that is the prudent approach for us right now.
Ken Goldman: Thank you.
Operator: Thank you. Our next question is from Max Gumport with BNP. Please proceed with your question.
Max Gumport: Thanks very much. I have a follow-up question on elasticities and the minus one assumption. I mean, to me, it feels like this is the key unknown for '25, right? You've got cocoa costs largely locked in, pricing implemented, visibility to cost savings pretty clear. And so, could you just give a bit more color on what's informing the minus one and if that applies to your smaller international segment too, particularly in context of a competitor talking about an elasticity level in '25, that would be much more favorable. Thanks very much.
Michele Buck: So we do see upside if elasticities come in better. We, again, think that it is a prudent stance to take as we work through the volatile consumer marketplace and some of the pressures that we know exist for consumers. And we have also considered greater elasticities in international in the outlook. We are not the market leader in many of those markets, so not always leading those price increases. So, we take a different stance relative to our approach there. I mean, it's a smaller piece of our business, obviously, so it doesn't have nearly as big of an impact, but we do look at it differently.
Max Gumport: Right. Great. Thanks very much. And then, staying on international, realize that it is a smaller segment, but you had a very strong 4Q with broad-based strengths across your markets. So, the commentary of low single-digit growth was heightened competitive activity in '25 stood out to me. Can you talk a bit more about what the competitive activity is you're seeing in those markets where it's more pronounced and how you expect to manage through it? Thanks very much.
Steve Voskuil: Sure. Yes, the 4Q was strong. They were helped a little bit by a favorable lap, and we also have some big Black Friday performance in a couple of markets where that was a big holiday. So, strong performance there. When you look at the totality of last year, the business was up about a point. So, I'm more on balance. The '25 outlook doesn't look as different. We saw, I would say, the highest competitive activity in Brazil and Mexico. Brazil in particular was very intense, a lot of promotion. We had a lot of innovation in those markets, and that helped, certainly in the fourth quarter. But again, as we look kind of at the totality of 2025, we expect to see that competition increase, and that's really what's informing the growth there.
Max Gumport: Thanks very much.
Steve Voskuil: Thanks, Max.
Operator: Our next question is from Robert Moskow with TD Cowen. Please proceed with your question.
Robert Moskow: Hi, thanks for the question. Steve, I think I'll just ask about phasing. Do you expect your gross margin pressure to be pretty even throughout the quarters? Or in fourth quarter, are you fully covered for fourth quarter, or will there be like another hit in fourth quarter when hedges roll over?
Steve Voskuil: Sure. So, for the full-year, we're nearly completely covered on cocoa. And so, we don't expect a big hit, maybe kind of a new hit from the outlook in the fourth quarter. If you look at the split of gross margin, we're going to have less gross margin pressure in the first-half, where cocoa will be based on our hedging less, probably in the neighborhood of under 500 basis points. And as we get to the back-half, we'll see more impact. Those hedge positions are going to be higher priced just based on the flow of cocoa. So, definitely more in the back-half than the first-half.
Robert Moskow: Okay. And just a quick follow-up for Michele; Michele, are you seeing your competitors take similar actions on pricing? You've been very strategic about where you're going to take it. It doesn't sound like you're taking it in instant consumables yet. Have you seen similar actions, or are there some discrepancies out there?
Michele Buck: I guess, I'd say overall, I think the category is very rational. And we have seen most major players taking pricing, including private label, which has also taken pretty aggressive pricing as well. I'd say that pricing has probably been a bit more broad-based, though people tend to cycle through parts of their portfolio as they see appropriate. And price 60% at one time and then go to the next piece. We know that we've tried to be just considerate of pressure in certain channels, but nothing is off the table for us. We are continuously evaluating the entire portfolio.
Robert Moskow: Okay, got it. Thank you.
Operator: Thank you. Our next question is from Alexia Howard with Bernstein. Please proceed with your question.
Alexia Howard: Good morning, everyone.
Michele Buck: Good morning.
Steve Voskuil: Good morning.
Alexia Howard: Okay, so first of all, can I just ask, on the sales outlook for 2025, it's obviously fairly muted compared to the strong performance this time around. Is that mainly due to the conservative price elasticity assumption, or are there other puts and takes in there?
Michele Buck: So, I'd say a couple of things. International is a bit more pressured than we would normally see in our growth algorithm. So, that certainly played a role. We're certainly taking into account the volatility in the marketplace. We do anticipate that our consumption will be a bit stronger than shipments due primarily to retailer inventory in North America confection. And so, that's playing a role as well. In addition, one fewer shipping day. And we do have some commercial activations that are really coming into play closer to the back-half of the year, but those are the key components.
Alexia Howard: Follow-up, can I come back to the topic, or not on this call, to the topic of GLP-1s, which have come up in the past? Are you seeing any material impact at the moment? How are you measuring it? And what's the strategy here as that plays out over time? Thank you. And I'll pass it on.
Michele Buck: Yes. So, we are seeing no material impacts. We are continuously looking externally to get and evaluate data. We have triangulated both external and internal evidence, including some of the most recent studies, like the recent Cornell Enumerator studies, and they tend to validate our internal views. We have multiple data sources that also support our view that users of the drugs do not eat disproportionately less of our categories. We do know that there's a broader shift in consumer preference for healthier items that has been underway for some time, items that have nutritional claims around low sugar and other things. And we will continue to evolve our portfolio as we continue to track what's important to consumers.
Steve Voskuil: Next question.
Michele Buck: Hello.
Steve Voskuil: Operator.
Operator: Thank you. Our next question is from Peter Galbo with Bank of America. Please proceed with your question.
Peter Galbo: Hey, good morning, Michele and Steve. Thanks for the questions. Steve, maybe just a follow-up on phasing on top line, I know you gave color on 1Q and 2Q in the prepared remarks, but I think there was a comment you just actually just made to Alexei's question around the back-half of the year, 4Q, maybe has one less day. Just want to make sure we have all the moving parts on top line as we think about bridging to the 2% given there's some wonkiness in the comps.
Steve Voskuil: Sure. Yes, one quarter, the first quarter has two fewer shipping days, fourth quarter has one. And so, they have one extra. So, net-net, you're one day short for the full-year. Again, pretty minor between those two, between first-half and second-half. But over on the second-half, we'd expect a low single-digit growth.
Peter Galbo: Got it. Helpful. And then, Michele, maybe if I could switch gears, there's commentary about being able to participate in the downside of cocoa markets do fall given your risk caps. You spoke a little bit about, I believe, off exchange mechanisms. You're seeing some of the competitors are doing. There's been some reporting about maybe your own activities that have been outside of the norm. So, just wanted to get a deeper understanding of kind of what you're seeing from that perspective, what instruments you're seeing yourselves and your competitors using, and maybe if you can also comment just on your own activity that's maybe been outside the norm. Thanks very much.
Michele Buck: So, right now, we are seeing very low commercial participation on the exchange. And yes, we have been looking at alternatives and options of how we approach our cocoa supply chain. Our focus is really, there has been an opportunity to get lower prices in origin versus on the exchange. And we're trying to be very opportunistic about how we approach this whole area and take advantage of the market dislocations in a place that we see that we can come in a bit differently. Steve, anything you would add to that?
Steve Voskuil: No, I think we won't get more specific on the types of instruments, but market dislocations sometimes present opportunities. And so, we want to make sure we're looking everywhere we can for opportunities.
Peter Galbo: Thank you.
Operator: Thank you. Our next question is from Todd Palmer with Citi. Please proceed with your question.
Todd Palmer: Good morning, and thanks for the question. Maybe just starting out, we could circle back to the elasticity assumption. I just want to make sure I have kind of the starting point, right, when you talk about minus one, it would be without pricing, I guess, what level of growth, roughly, do you assume as a starting point and then the elasticity starts to trigger? And I guess when we think about this coming year, is it different as a starting point than maybe you would have in your long-term algorithm or relatively normal?
Michele Buck: So I would say it is -- it's largely similar to how we approach it. I mean, we always say we look at the impact of pricing and there is a volume conversion curve that you go on once you price. And then, we build back up from there relative to the programming that we have to unlock growth and consumption on the brand. We do that on a pack-by-pack and a retailer-by-retailer, brand-by-brand. And that's really what helps to get us to what that number looks like. So, that's how we derive it. The Long Easter helps us this year as somewhat of a starting point, but those programs that we add on top allow us to get better than that minus one.
Todd Palmer: Understood. Thanks for that. And then, just in the prepared remarks, there was reference to a timing benefit in the fourth quarter related to inventory valuation. Just any help quantifying this? And then what drove this and whether this has any impact on 2025 at all?
Steve Voskuil: Yes, the impact was about $40 million. And it's really related to our new ERP system, which has a much finer allocation of cost between inventory and the P&L based on what we sell. And so, it's sort of a better system. With that system and that precision comes a little bit more variability. So, as we go through the quarters we may see a little bit more of that movement than we had in the past. But it's not going to be material and I wouldn't -- we're not setting our models differently based on that.
Tom Palmer: Okay. Thank you.
Steve Voskuil: Sure.
Operator: Thank you. Our next question is from Jim Salera with Stephens. Please proceed with your question.
Jim Salera: Yes. Thanks for taking our question. Michele, in the prepared remarks, you called out acceleration on the suites portfolio and some successes with the Shaq-a-licious Gummies and Jolly Rancher. Just in thinking about the drivers of potential upside on the portfolio, can you maybe talk about innovation on the non-chocolate portion of the portfolio and how that'll play into some of the advertising efforts you have rolling out this year.
Michele Buck: Yes, absolutely. So, as you know, in Q3, we launched in the marketplace a lot of new innovation, including Jolly Rancher innovation, heightened support, Shaq-a-licious Gummies, and then in Q4, we actually purchased Sour Strips. So, all of those things on sweets were new as of kind of mid to late Q3 into the balance of the year. So, as you look at the year of '25, we're going to get a carryover benefit, a pretty strong carryover benefit from those items. In addition to that, we have also recently launched JR Freeze Dried and that's hit the marketplace. So, that is new news on innovation and sweets for this year. We have new news coming later this year that we haven't yet announced. And then, we obviously have distribution and velocity opportunities on Sour Strips as well. So, we have a continued -- nice lineup of continued news and opportunity on sweets as we enter the year and go through the year.
Jim Salera: Great, and then when you have your conversations with retail partners on expanding the sweet selection, is that often incremental space that you didn't have before or is it kind of swapping pieces of the chocolate for sweets, especially in like the immediate consumption occasion, cash wrap and the written out there?
Michele Buck: Yes, so we under index in sweets, we are underdeveloped. So, for us, it is an opportunity to be gaining incremental distribution, incremental consumer occasion. So, we do look at that as helping us in that way. It also helps us with our seasons portfolio, where we're already quite strong, but being able to get some of these innovative sweets components into season is a new opportunity there as well.
Jim Salera: Great. I appreciate the color. I'll pass it on.
Operator: Thank you, our next question is from Leah Jordan with Goldman Sachs. Please proceed with your question.
Leah Jordan: Good morning, thank you for taking my question. I wanted to ask about the market share declines in everyday chocolate that you noted in the prepared remarks. First curious how that trended versus last quarter and throughout the quarter. And then as you think about potential drivers for improvement going forward, how much do you think is dependent on an improvement just in the cyclical impulse in the C-store channel versus the need to drive bigger innovation like you're planning because competition and newness has just been intensified from smaller players?
Michele Buck: Sure. So, I'd say every day is getting better. We have significant improvement with sweets and we've also seen significant improvement in take home. Some of those improvements were driven by strength in the category. And certainly as we lapped some of the retailer specific pressures that we had the prior year and that we lapped through those and got back to a normalized position relative to distribution and merch, that was very helpful. Innovation is an important lever and we are looking across each of our pack types to make sure that we've got that right innovation as there is increased competition for shelf space, having the right innovation within each pack type is incredibly important. So, we have dialed up some of the innovation levels and take home this year. And we think that that will result in TDPs and growth. Next year, really the share outlook is driven by continued acceleration in sweets, continued strength in seasons and improvement in every day. We do have the biggest innovation that we have had ever on Reese coming to the marketplace, and so, more news to come on that later this year, and we'll continue to work with our commercial partners to improve trends in the instant consumable business. That's an area of the portfolio that is driven by some of these macro pressures and the consumer pressure, particularly in convenience store class of trade. There's a little bit of downward category pressure there. We see more momentum and upside on the other areas, but we continue to focus on share there as well.
Leah Jordan: That's very helpful. Thank you. And maybe just following up on that C-store discussion, it sounded like last quarter, you were going to invest more in variety brands and lean into your gold standard planogram. So, it sounded like the channel's still soft, but are you starting to see any improvement as you kind of implement those plans?
Michele Buck: So, we have seen improvement on our variety portfolio. We saw improvements by about three points in our trends from Q3 to Q4. They are still pressured, but we are seeing some significant improvements and we are in the process of ramping up that gold standard. So, that takes some time to implement. So, you sell it in. It does require a reset by the retailers. So, we are continuing to monitor that, but I have a lot of confidence based on the places where we've tested that. It has provided 2X the impact as the old planogram. So, we're confident in those lifts and we'll continue to see those hit the marketplace as we progress through the year. More of that upside will come closer to mid-year into the second-half.
Leah Jordan: Great, thank you.
Operator: Thank you. Our next question is from Michael Lavery with Piper Sandler. Please proceed with your question.
Michael Lavery: Thank you. Good morning.
Steve Voskuil: Good morning.
Michele Buck: Good morning.
Michael Lavery: You mentioned in your prepared remarks, you're seeing coco end-users adapting through reformulation. Could you maybe touch on what exactly you're seeing there and if you are reformulating yourselves as well?
Steve Voskuil: So, we have over the last several years always looking at where there may be some opportunities on formulation, but it's critically important we maintain the taste profile and the specialness of our iconic brands. And so, it's a place we look at, we test, and in some parts of our portfolio, over time we've made some changes. We'll continue to look in that space. And I would say in all the changes that we've made thus far, there has been no consumer impact whatsoever, as you can imagine, even on the smallest brand in the portfolio if we were to make a change as extensive as consumer testing. So, it's an area we look at, but we definitely want to make sure that we're focused on the consumer.
Michele Buck: We have been seeing some increased global demand across the market for cocoa alternatives. So, we are seeing some folks who are pressured, who perhaps have the opportunity to switch to cocoa butter alternatives. Obviously, we do that where possible, but we're pretty precious about the brands and what they stand for with consumers. But that does exactly --
Michael Lavery: Okay, that's helpful.
Michele Buck: Yes, it does create some demand destruction in the market as we see others just do that.
Michael Lavery: Okay, got it. And you touched on something I don't think you've mentioned before, which is the potential for cellular agriculture being a long-term solution. How far on the horizon, how far off is that? Is that something to kind of consider as a potential substitute? How should we just think about what role of any of that may play over the next, say few years?
Michele Buck: It's something we're watching very closely. I don't think it is necessarily near-term, but I think it can be a game changer and it's certainly getting a lot of investment right now. So, I think it's something to watch.
Michael Lavery: Okay, thanks so much.
Operator: Thank you. Our next question is from Chris Carey with Wells Fargo Securities. Please proceed with your question.
Chris Carey: Hey, good morning, everyone. Just first, Steve, the implied gross margin for Q1, I think it's like 41% and maybe roughly 35% for the remainder of the year. Is it fair to assume that the core differential there is cocoa inflation or are there other considerations that we should be thinking about?
Steve Voskuil: Yes, we'll be -- for the first-half, we'll be down less than 500 basis points, more than that, like we talked about earlier in the second-half. And yes, to answer your question, cocoa's really the biggest component of the inflation in the other areas, some of the other commodities, but also labor, warehousing, and so forth. Those things are more evenly paced over the year.
Chris Carey: Okay. Okay, great. And then, Michele, obviously you're announced plans to transition out of your role, which is exciting. Can you maybe provide any more color or just context on the search process, timing, and the sorts of capabilities that you would be looking for as an organization? Thanks so much.
Michele Buck: Sure. So, we've had a framework for long-term succession in place always, as companies always do. Now that I have announced a firm date for my retirement, the search practice, or the search process is actively underway, and that is appropriate. Yes, we will conduct a very robust search process led by a search committee on the board. Certainly, we will be recognizing and paying attention to the fast-evolving industry and world that we are all living in and experiencing today, and being very selective to bring on board somebody who has the right skills, experience, qualifications, and people focus to allow us to win during this environment. So, I'm confident we will find the right successor, and I'm working closely with the board on that to ensure the right selection and a seamless transition. But I am absolutely 100% leader-focused in the interim on delivering this '25 plan, continuing to execute our transformation, and making sure I'm positioning the company for our next phase of growth.
Operator: Thank you. Our next question is from Rob Dickerson with Jefferies. Please proceed with your question.
Rob Dickerson: Great, thanks so much. I get to around '26, maybe it's a question more for Steve. Michele, you can chime in. I guess the, sort of what I'm hearing today is hopefully the price of coco comes down. Maybe mid-crop comes in okay, supply-demand dynamics start to settle, maybe demand weakens a little bit, so it kind of pulls it down. And I think the direct comment or the line in the prepared remarks, right, that hopefully as you get to '26, you can get a kind of more balanced top and bottom line growth. But then Steve, I kind of heard you also kind of mention on Algo. So, I'm just trying to gauge a little bit better of like how you kind of feel out '26, right? Is it like, yes, clearly if coco comes down a bunch, then our earnings can go up a bunch. If it comes down some, then really what we're hoping for is more on Algo growth, right? Because once you have a year, like this year such that absolute earnings are so far down to me kind of a core question is, okay, we could be back on Algo growth, but is there kind of a scenario that has some decent probability around it such that you could be like way above on Algo growth and kind of try to get back more of those absolute earnings. That's all I have. Thanks so much.
Steve Voskuil: Sure, yes, so we see a path, even at these coco prices to EPS growth for '26, again, on the back of some aggressive actions that we talked about earlier that we're framing for execution, depending on what we see, particularly in the first-half of this year. And then, I think there's an opportunity for outside growth. We get some help from coco and we see coco start to backtrack. So, those are kind of our operating assumptions. That's what we mean when we say on Algo, or when we say that we want to see balanced growth for next year. That's what we're shooting for.
Rob Dickerson: Okay, okay. And then, makes sense. And then, I guess just quickly while I fully respect that you, I don't think, ever talk about your hedging practices, is it fair to assume that kind of like where coco sits today, right, that maybe you kind of give it a little bit more time before you start to really actively hedge '26? And I think you kind of vaguely touched on that, right? We'll see kind of how it plays out. But if you do think it comes down, like my assumption would be you kind of wait a bit before you start to hedge.
Steve Voskuil: Yes, we can't comment too much on the timing of the plan for '26 hedging for competitive reasons, but we've got a great team. They're very close to what's happening in the coco markets and what's happening on exchange, off exchange and other innovative solutions. And so, we're going to continue to take advantage of that. We've got the best coco traders out there working this. So, we're going to leave it in their hands and we'll get more information as the year progresses.
Rob Dickerson: All right, super. See you in Florida. Thank you.
Steve Voskuil: Thank you.
Operator: Our next question is from John Baumgartner with Mizuho Securities. Please proceed with your question.
John Baumgartner: Good morning. Thanks for the question. Michele --
Michele Buck: Good morning.
John Baumgartner: Good morning. I wanted to come back to Alexia's question on the U.S. chocolate category specifically. And in 2024, volume was down about 5%. And that was a little bit worse than 2023, even though pricing in 2024 was about half the magnitude. And it sounds as though the GLP-1s are not a big driver, but that health and wellness may still be having some impact, I guess, independently. So, how would you bucket the factors driving chocolate declines at this point between health and wellness? Any shift into non-chocolate confection versus savory snacks, or maybe just outright demand destruction from prices? It feels like there’s a lot going on simultaneously.
Michele Buck: Yes. So, I’d say there is a lot going on. So, I would start and say, if I think about the broad confection category, first of all, sweets has really been a high growth area. So, there’s been some mix that’s been evolving there. Sweets delivers on a different palate experience. Sweets has a value component to it. So, that’s been one factor impacting the overall category and certainly having an impact on chocolate. And that’s been in place for a while. That’s been a longer trend, but continues to be there. I think we are seeing a lot of channel evolution. So, there’s been some pressure in some of the primary channels where a lot of chocolate is sold in areas like convenience. And then, there’s been some growth in some of the unmeasured channels that have traditionally not been as strong across mainstream chocolate. And so, we’re shifting our focuses to really accommodate that. And the overall category growth is really strong in those places. And that’s an opportunity for us and also, I think, for the category. I think the consumer focus on health and wellness is also a continuation. I don’t see it as a massive change. And certainly, we’re seeing really nice growth on our zero sugar line of products and also our protein line of products. Both of which we put a heightened focus on growing. And we see a lot of opportunity on those going forward.
John Baumgartner: Thanks, Michele.
Operator: Thank you. Our next question is from David Palmer with Evercore ISI. Please proceed with your question.
David Palmer: Thanks. Good morning, guys. I wanted to ask you about maybe some big picture growth bucket questions. I mean, primarily I’m curious about seasons, and how you’re thinking about that this year. It’s been a great area for growth. Some tough comparisons maybe have been lapped at this point from COVID. I’m wondering how you’re sort of budgeting and forecasting seasons as a grower this year. And then, if there’s any other commentary from a channel perspective about how you’re thinking this year might play out? Convenience stores also had sort of a post-COVID lack of recovery that I think was notable. And, I’m wondering how you’re thinking about that channel and any other insights. Thanks.
Michele Buck: Yes. So, we’re expecting strength in seasons this year. We’ve been pretty consistently doing very well during seasons. I think there’s a very strong emotional component with consumers that makes them want to participate in seasons regardless of what might be going on in the macro environment. And they love their brands that have been part of their traditions and rituals over the years with their families. This year, Easter is advantaged being the late Easter. So, that elongates the season. And we expect strong growth. We expect to gain share there. And we also continue to believe that we’ll do well in the other seasons. As you know, performance in the prior year in a season helps to set up success in the following year. And we feel good about what we delivered. It’s the seasons this year that give us a good foundation as well going into 2025.
David Palmer: Any comment on convenience as a channel? Do you think that that’ll be in line with your forecast broadly, or what’s your thoughts there?
Michele Buck: Yes. I think that convenience will absolutely be in line with our forecast. We are continuing to forecast some pressure in that channel until we see it stabilize more. So, we’ll lap some parts of that pressure. So, that will be a help, lapping it about the summer timeframe. So, continued softness until we see that lap.
David Palmer: That makes sense. Thanks very much.
Michele Buck: Thank you.
Operator: Thank you. This does conclude our question-and-answer session. You may disconnect your lines at this time. Thank you for your participation.